Operator: Good morning, everyone. Welcome to the La-Z-Boy Fiscal 2024 Fourth Quarter Conference Call. At this time, all participants are in a listen-only mode and we will be opening for questions following the presentation. [Operator Instruction]. Please note, this conference is being recorded. I will now turn the conference over to your host, Mark Becks, Director of IR and Corporate Development of La-Z-Boy Incorporated. Mark over to you.
Mark Becks: Thank you, Jenny. Good morning everyone and thanks or joining us to discuss our fiscal 2024 fourth quarter and full fiscal year. With us today are Melinda Whittington, La-Z-Boy Incorporated's President and Chief Executive Officer; and Bob Lucian, La-Z-Boy's SVP and CFO. Melinda will open and close the call and Bob will speak to segment performance and the financials midway through. We will then open the call to questions. Slides will accompany this presentation and you may view them through our webcast link, which will be available for one year. A telephone replay of the call will be available for one week beginning this afternoon. Before I begin the presentation, I would like to remind you that some statements made in today's call include forward-looking statements about La-Z-Boy's future performance and other matters. Although we believe these statements to be reasonable, our actual results could differ materially. The most significant risk factors that could affect our future results are described in our annual report on Form 10-K. We encourage you to review those risk factors, as well as other key information detailed in our SEC filings. Also, our earnings release is available under the News and Events tab, on the Investor Relations' page of our website, and it includes reconciliations of certain non-GAAP measures, which are also included as an appendix at the end of our conference call slide deck. With that, I will now turn the call over to Melinda Whittington, La-Z-Boy Incorporated's President and Chief Executive Officer. Melinda?
Melinda Whittington : Thanks, Mark. And good morning everyone. Yesterday, following the close of the market, we reported results for our April-ended fourth quarter and fiscal year. I am pleased to share that we delivered solid results despite ongoing economic in Furniture and Home Furnishings industry headwinds. Highlights for the quarter included consolidated delivered sales of $554 million, up 22% versus our most recent pre-pandemic fourth quarter, and down 1% versus prior year, which benefited from delivering the above-normal pandemic backlog. Non-GAAP operating margin of 9.4%, non-GAAP EPS of $0.95, strong operating cash flow of $53 million for the quarter, and continued progress against our Century Vision growth strategy, including completing the acquisition of a two-store independent Furniture Galleries network in Florida and signing an agreement to acquire another single-store independent dealer in the Midwest in the first quarter of fiscal ‘25. Highlights for the year included consolidated delivered sales of just over $2 billion, roughly flat versus prior year when adjusting for the fiscal ‘23 pandemic-related backlog deliveries. Gross margin expansion on both a GAAP and a non-GAAP basis across all segments. Strong operating cash flow of $158 million, a healthy balance sheet with $341 million in cash and no external debt, and continued progress against our Century Vision growth strategy, including opening six company-owned stores and the acquisition of 11 independently-owned La-Z-Boy Furniture Galleries stores, and $85 million returned to shareholders through share repurchases and dividends, including increasing our dividend by 10% for the third consecutive year. We're proud of our strong finish to the fiscal year as fourth quarter results exceeded expectations. These were particularly impressive results in the context of the overall Furniture and Home Furnishings industry, which continues to grapple with higher for longer interest rates and housing turnover near 30-year lows, negatively impacting store traffic. La-Z-Boy continues to stand out as an iconic brand in the category for our unique ability to turn houses into homes with our broad assortment and offering personalization at scale. Retail in-store execution is the strongest it has ever been, including conversion rates at all-time highs and average ticket and design sales continuing to strengthen. Additionally, we have strengthened our supply chain by optimizing our North America manufacturing footprint to improve productivity while driving strong service levels. We will continue to play offense despite the sluggish demand environment supported by our strong balance sheet to favorably position us for accelerated growth when an underlying industry tailwind reemerges. Our first quarter is off to a good start, and we are encouraged by our solid Memorial Day results as our assortment and a best-in-class motion offerings are resonating with consumers in the marketplace. Recapping our fourth quarter written sales trends, total written sales for our company-owned retail segment increased 1% versus last year's fourth quarter. Written same-store sales for our company-owned retail segment in the fourth quarter declined 5% versus the prior year. Same-store sales were strongest early in the quarter around key holiday events and recovery from January weather disruption, but strengthened again in May when we began our new fiscal year. Despite ongoing challenging traffic trends, our stores continue to execute very well with higher conversion, higher ticket, and design sales partially mitigating the traffic headwinds. Written same-store sales for the entire La-Z-Boy Furniture Galleries network of 355 stores declined 3% in the fourth quarter versus the prior year. Against the backdrop of an 8% industry contraction during our fourth quarter, we are encouraged by our La-Z-Boy Furniture Galleries network again outperforming by approximately 500 basis points. Summarizing our full fiscal year, written same-store sales across our Furniture Galleries network were down just 2% while the industry was down 6% as our significant outperformance versus the market persisted throughout the year. Consistent with our Century Vision strategy, our objective remains to drive disproportionate growth over the long term and to consistently gain share in the fragmented Furniture and Home Furnishings industry. Turning to Joybird, written sales declined 1% in the quarter versus a year ago and delivered sales were roughly flat as sales trends have largely stabilized. The brand is making steady progress and execution is improving as we focus on balancing growth and profitability. As we conclude the fiscal year and begin a new one, I'd like to reflect on the progress made in strengthening our enterprise for the long term and highlight some of our objectives for the year ahead. Recall, Century Vision is our strategic framework setting up La-Z-Boy Incorporated for the next 100 years as we celebrate our first century in 2027. This is measured by our intention to grow top line at a pace double the market and deliver consistent double-digit operating margins over the long term. As an industry, underlying demand trends have been plagued by housing affordability, high mortgage rates, and low housing turnover. With mortgage rates hovering around 7% and existing home sales down 40% from peak levels, Furniture and Home Furnishings demand remains under pressure. However, we are not waiting for the macroeconomic environment to improve. Our team remains focused on servicing customers and consumers and delivering the La-Z-Boy brand promise of comfortable, custom furniture with quick delivery. The category is highly fragmented and is one of the largest players, but still with only roughly 5% market share, we are well positioned to continue to strategically grow our business. La-Z-Boy's brand reach expanded significantly over the past year. Our total Furniture Galleries network ended the fiscal at 355 stores, up six from the prior year, and our company-owned store account increased to 187, including six new store openings and 11 acquisitions. Further, in May we signed an agreement to acquire an additional one-store market from an independent dealer in the Midwest, scheduled to close in the first quarter of fiscal ‘25. Retail company-owned stores now represent 53%, over half of the total La-Z-Boy furniture galleries network for the first time in history. Growing our company-owned network is important, as it enables the brand to control the end-to-end consumer experience and leverage the strength of our vertically integrated model. We remain confident in our ability to grow the total La-Z-Boy furniture galleries network to approximately 400 stores over the next several years and see meaningful opportunity to expand the company-owned portion of the network through new store growth and acquisitions. These store acquisitions are immediately accretive to our profitability, allowing the company to benefit from the integrated wholesale and retail margins. Bob will provide more specific details on our new store targets for the year ahead in a moment. We're also growing our business through our broader channel strategy, which enables us to grow share of voice for the La-Z-Boy brand and provide access to the brand to a broader range of consumers. Our strategic partnership with Rooms To Go is a great example of this strategy. We continue to look for new and innovative ways to reach a broader audience and bring products like the beloved La-Z-Boy recliner into more homes. Another core pillar of our Century Vision is to expand La-Z-Boy's brand reach via our Long Live the Lazy campaign. We launched the campaign last August with the initial goal of enhancing brand awareness and keeping it top of mind. I'm happy to share, while less than a year in, that we have been successful in increasing awareness, consideration, and purchase intent among those who have seen Long Live the Lazy and connected to La-Z-Boy. While difficult to quantify, given the extended purchase cycles in Furniture and Furnishings, we have seen promising performance in the early impacts of the campaign. We will continue to adapt and expand the campaign as underlying industry fundamentals improve to achieve our goal of connecting with an even broader audience. Another focus area for expanding La-Z-Boy brand reach is within our product development. We continue to shift organizational decision-making to be more consumer-centric while also leveraging a data-driven approach. This is enabling us to develop more consumer-relevant, on-trend upholstered furniture, particularly in the motion and reclining categories where we are a market leader. Joybird is another core pillar of our Century Vision, and we are optimizing the brand to deliver a balance of sales growth and profitability. Sales trends for the brand improve throughout the year, and with 12 stores open across major metro markets, the digitally native e-commerce brand is benefiting from the synergistic effect of a growing retail footprint. Joybird has considerable opportunity to expand market share, and we will continue to make prudent investments in the brand to position it for long-term success. Strengthening our foundational capabilities, including building a more dynamic supply chain, is our final pillar in Century Vision. We again made steady progress building a more agile business model with the moves to better optimize our global supply chain operations throughout the year. Our North America footprint is a key differentiator in our ability to manufacture comfortable, custom furniture with quick speed to market. It is also crucial in helping us manage volatility in consumer demand and ordering patterns. As we begin fiscal ‘25, we expect to continue -- a continued challenge macro environment for most of our new fiscal year. However, I'm optimistic about our ability to continue to outperform the market consistent with our performance in fiscal ‘24, and I expect to deliver modest growth even against these industry challenges. Further, we are optimistic on the eventual rebound in category demand, and during fiscal ‘25, we will continue progress on our Century Vision pillars so that we are able to disproportionately benefit when the industry tailwinds do return. We've delivered meaningful results to date, and the best is still to come. Now, let me turn the call over to Bob to review the results in more detail. Bob.
Bob Lucian : Thank you, Melinda, and good morning everyone. As a reminder, we present our results on both a GAAP and non-GAAP basis. We believe the non-GAAP presentation better reflects underlying operating trends and performance of the business. Non-GAAP results exclude items which are detailed in our press release and in the tables in the appendix section of our conference call slides. On a consolidated basis, fiscal 2024 fourth quarter sales decreased 1% to $554 million versus the prior year, which benefited from above normal pandemic backlog deliveries. This sales result represented 22% increase versus the most recent pre-pandemic fourth quarter in fiscal 2019. Consolidated GAAP operating income decreased to $50 million, and non-GAAP operating income was $52 million, a decrease of 5% versus last year's fourth quarter. Consolidated GAAP operating margin was 9.1%, and non-GAAP operating margin was 9.4%, reflecting a 40 basis point decline versus last year, primarily driven by lower gross margin from segment mix, partially offset by lower SG&A. GAAP diluted EPS was $0.91 for the fourth quarter versus $0.79 in the prior year quarter. Non-GAAP diluted EPS was $0.95 in the current year quarter versus $0.99 last year. As I move to the segment discussion, my comments from here will focus on our non-GAAP reporting, unless specifically stated otherwise. Starting with the retail segment, for the quarter, delivered sales were $228 million, a 6% decrease over the prior year's fourth quarter, which benefited from higher deliveries of backlog. Importantly, fourth quarter sales were 50% higher than our pre-pandemic fiscal 2019 fourth quarter. Retail non-GAAP operating margin decreased to 14.2% versus 15.5% in the prior year quarter. Gross margin increased due to a more favorable product mix, but was more than offset by fixed cost de-leverage on lower delivered sales. For our wholesale segment, delivered sales for the quarter declined to $392 million, a 1% decrease versus the prior year period. Growth in external wholesale sales, driven by our channel expansion strategy, were offset by decreases in freight revenue in comparison to last year's fourth quarter, which included pandemic-related backlog deliveries, primarily to our company-owned retail stores. Non-GAAP operating margin for the wholesale segment was 8.5% versus 8.7% in last year's fourth quarter. As unfavorable freight, product mix, and higher operating costs related to recovering lost third quarter production were mostly offset by lower material costs and sourcing savings. Joybird reported in corporate and other delivered sales were $37 million, roughly flat versus the prior year quarter, as sales trends have largely stabilized. Joybird again made meaningful progress on improving profitability in the quarter with lower freight and warranty expenses, improved product mix, and higher return on advertising spending. Moving on to full year results for fiscal 2024. Enterprise delivered sales were roughly flat versus the prior year at $2.05 billion when excluding $300 million of pandemic-related backlog deliveries, which occurred in fiscal ‘23. On an unadjusted basis, delivered sales were down 13% versus the prior year, and trends improved sequentially as the year progressed. Consolidated GAAP operating income amounted to $151 million, and non-GAAP operating income was $159 million, a 29% decrease versus fiscal ‘23. Consolidated GAAP operating margin was 7.4%, and non-GAAP operating margin was 7.8%, down 170 basis points versus last year. GAAP diluted EPS was $2.83 for fiscal ‘24 versus $3.48 last fiscal. Non-GAAP diluted EPS was $2.98 for the fiscal versus a record $3.86 in fiscal ‘23. Moving on to our consolidated non-GAAP gross margin and SG&A performance for fiscal 2024. Fiscal year consolidated non-GAAP gross margin for the entire company increased by 210 basis points versus the prior year. Gross margin increased in all segments, driven by reduced commodity prices, improved sourcing, and a favorable shift in product mix. SG&A, non-GAAP expense dollars decreased by 2% year-over-year. Non-GAAP SG&A as a percentage of sales for the year increased by 380 basis points compared with the same period last year, primarily due to lower delivered sales relative to fixed costs. Our effective tax rate on a GAAP basis for the year was 24.8% for fiscal ’24 versus 26.2% for fiscal ‘23. Fiscal 2024 was lower primarily due to non-taxable gains on company-owned life insurance investments and an increase in R&D tax credits. Turning to liquidity, we ended the year with a robust balance sheet, including $341 million in cash and no externally funded debt. We generated $53 million in cash from operating activities in the quarter. Solid cash generation was primarily driven by profit performance and lower inventory levels. For the full fiscal year, cash flow from operations was $158 million, down from last year due to lower sales after fulfilling our pandemic backlog, but still at very healthy levels. We spent $54 million in capital expenditures for the years, primarily related to retail store openings and remodels and upgrades at our manufacturing and distribution facilities. We also spent $39 million on acquisitions during the year. During the fiscal year, we returned approximately $85 million to shareholders. This included $33 million paid in dividends and repurchasing 1.6 million shares during the year, which leaves 5.7 million shares available under our existing share repurchase authorization. We view share repurchases and our dividend as an attractive use of our cash and positive return to shareholders. Our capital allocation target is to reinvest approximately 50% of operating cash flow back into the business and return about 50% to shareholders and share repurchases and dividends over the long term. In fiscal ‘24, our capital allocation was 52% reinvested into the business and 48% returned to shareholders. Now, before turning the call back to Melinda, let me highlight several important items for fiscal ‘25 and our first quarter. Consistent with our Century Vision strategy, we continue to target sales growth double the industry growth rate and double digit operating margins over the long term with the benefit of more normalized industry growth rates. Looking forward, we expect the industry to continue to be challenged down by as much as 5% during our fiscal 2025 with any improved trends weighted late in our fiscal year towards calendar 2025 when expected interest rate cuts filter through the economy and begin to positively impact housing activity. We expect to continue to outperform the market, consistent with our performance in fiscal ‘24, which will result in modest sales growth year-over-year for fiscal 2025. We expect to open 12 to 15 new La-Z-Boy Furniture Gallery stores skewed towards the second half of the year. Now, for the first quarter, we expect delivered sales to be in the range of $475 million to $495 million and non-GAAP operating margin to be in the range of 6% to 7%. Also, as a reminder, our first quarter is generally the lowest sales and margin quarter in the fiscal year due to seasonally lower industry sales and our annual week-long manufacturing plant shutdown in July. We expect our tax rate for the full fiscal year to be in the range of 25.5% to 26.5%. We anticipate non-GAAP adjustments for purchase accounting charges for the year to be in the range of $0.01 to $0.03 per share. We expect capital expenditures to be in the range of $70 million to $80 million for fiscal 2025 as we invest to strengthen the company for the future consistent with our Century Vision strategy. This includes land and building investments and stores to maintain the growth rate of our retail network. Finally, presuming no significant worsening in macroeconomic trends, we expect to continue share repurchases at dollar levels consistent with pre-COVID levels. And now, I will turn the call back to Melinda.
Melinda Whittington: Thanks, Bob. The momentum in our business is accelerating and we continue to make progress towards achieving our Century Vision goals. Our focus on execution will remain paramount as we continue the expansion of retail through new and acquired stores, improve agility across our supply chain, and drive efficiency and margin expansion throughout our business as the underlying demand environment improves. We will also continue to expand our brand reach with new and existing consumers through our award-winning and innovative brand campaign and our on-trend high-quality comfortable products. Before I conclude the call, I want to thank the entire La-Z-Boy Incorporated team for their hard work and continued progress towards our goals throughout the year, even in the challenging environment. I look forward to the year ahead and getting back to growth. And we thank you all for your time this morning, and I'll turn the call back to Mark.
Mark Becks : Thank you, Melinda. We will being the question-and-answer period now. Jenny, please review the instructions for getting into the queue to ask questions.
Operator: No problem. [Operator Instructions]. Thank you. Your first question is coming from Bobby Griffin of Raymond James. Bobby, your line is live.
Bobby Griffin : Hey, everybody. Good morning. Thanks for taking the questions.
Bob Lucian : Good morning, Bobby.
Bobby Griffin : I guess first for me, I just wanted to maybe dive into the margin performance in the quarter. It came in nicely above expectations. Was that just a function of the volume side of the business being a little bit better than what you laid out when we start the quarter, or was it some of these manufacturing efficiencies that we've talked about in the past starting to come to fruition and getting more efficient inside the facilities and kind of back to what I would say the normal La-Z-Boy wholesale performance is?
Bob Lucian: Bobby, I would say it's probably the former more than the latter. We continue to make progress on the efficiencies of our plants, but during that quarter, we're still in the process of our Mexico project where we're moving around production and we're moving our cut and sew facilities and trying to get that all ready to go. So that was occurring and that had some drag costs in Q4. The rest of the business did do fairly well from a plant production perspective. It really was more a function of the higher volume that we got. As you recall, we had a pretty challenging January due to weather, and that pushed more volume into Q4. As a result, that helped to drive the overall margins up a little bit higher than what we had expected.
Bobby Griffin: Okay. And that was actually a good segue to my next one. I was going to ask about the restructuring process, just how is it progressing on time? Are we still expecting the 50 to 60 basis points, I believe, was what we talked about for wholesale margin improvement?
Bob Lucian : We still expect that improvement to occur, but we are, I would say, one quarter delayed. As we were going through and making all the changes across all the plants, there's a number of plants that are involved in this. We've been going a little bit more prudently and cautiously to ensure that, number one, that we're maintaining the quality, and this is all about our cut and sew operations down in Mexico, that we're maintaining the quality of the product as we bring new people online, as well as ensuring customer service and that we don't fall behind and get behind there. So we're being a little bit more cautious. By the end of Q1, we expect that to be completed, and then we'll start seeing that 50 to 60 basis points we talked about.
Bobby Griffin: Okay. Great. And then on the new store galleries, the 12 to 15, that's all organic and doesn't include if you buy in any of the independents or does it include, I guess, the one that you've already signed?
A - Melinda Whittington: That's correct. That's a new store opening, separate from any acquisitions that we would do.
Bobby Griffin: So maybe, I guess the question then is, that's a nice step up versus I believe it was six that we opened in FY’24. So Melinda or Bob, can you maybe unpack kind of what you are seeing from the real estate side? Is it just the timing that you now kind of have the pipeline built out that allows you to accelerate it, or are you doing something different from a capital standpoint, putting a little bit more of your own capital up first to kind of accelerate it and then sell them back or something, from a lease standpoint?
Melinda Whittington:  Yes. So certainly, our goal has been to go after that pace and get ourselves up kind of a north of 10 a year. This year, we opened six new stores. And as you said, it does take a little bit of time to get that machine going and we've done some things to help move that along. Bob alluded to the fact that where we need to – i 's not going to be our business for the long term, but where we need to, we're leveraging some of that balance sheet to put the capital up, so that we can keep these stores moving rather than be delayed again. And that's just laying the groundwork, because we don't want to open up sites for the sake of opening them and not have good sites, but having that groundwork laid on where we want to be, and then the decision to help that process with using our own capital on a limited basis, those two things are sort of the inflection between six closed this year – or six opened this year versus north of a dozen next year.
Bobby Griffin: Very good. I appreciate the details. I'll jump back in the queue and turn it over to somebody else, but congrats on the strong quarter.
Melinda Whittington: Thanks, Bobby.
Bob Lucian : Thank you.
Operator: Thank you very much. [Operator Instructions] Our next question is coming from Brad Thomas of KeyBanc Capital Market. Brad, your line is live.
Brad Thomas : Thanks. Good morning, Melinda, Bob and Mark. First of all, congrats on the good year and strong execution and a still tough backdrop. I guess, just as we look at the first few quarters of the year, you are up against these positive comps in 1Q and 2Q, where written same-store sales were positive in fiscal 1Q and fiscal 2Q. And so I guess the question is, you commented on being happy or pleased with what you were seeing out of Memorial Day weekend. But just as we're thinking about the shape of the year and the beginning of the year, how should we take into consideration the fact that comparisons get a little bit easier? Does that really even matter, because the two and three year comparisons are so noisy? But I guess from your comments, it would seem like hopefully same store sales get better from the negative three that you just did in the fourth quarter, but again, I just want to make sure we're not missing anything as we think about timing and comparisons.
Melinda Whittington: Sure. No, I appreciate the question. Yeah, speaking first to Memorial Day and sort of how our May started, we commented as you said, in the prepared remarks about a solid start. I think as we've been in the call this morning, the government's number came out on the industry for May, and they are pretty negative numbers. And I would say, I can say with comfort that we are continuing to outperform the market, so very pleased with that. I think the consumer overall is still bumpy, and we're seeing behaviors like the holidays tend to be stronger and the periods in between tend to be a little bit weaker. So we remain cautious, keeping our eyes on what we can control in this space. But broadly, we feel good about our ability to continue to outperform, and that's reflected in our guidance put out for Q1. But I'd also note that summer tends to be a super slow period for furniture, and we expect between the actions we're taking and then hopefully by the end of our fiscal, a little bit of help out of maybe seeing some interest rate help and seeing some of that start to trickle through the economy. We feel good about being able to grow this year.
Brad Thomas : That's very helpful, Melinda, and maybe just to follow-up on that. It seems to us that you have many, many encouraging initiatives underway to help drive the business. But just as you think about it across the marketing, the merchandising, some of the store execution, are there a couple of things that you think will be most impactful as you look out over the year ahead?
A - Melinda Whittington: Yeah, as you call out, our Century Vision, that we're entering the fourth year on now is really around a lot of tightening up on sound foundation, some of the things that have gotten us through our first hundred years, but getting better at them right. So building, we've always had this great supply chain, but making it even more agile and leveraging the learning’s that we've had over the last couple of years of a lot of curve balls thrown at us, that’s one example. Reinvigorating our brand and really investing in both the consumer knowledge to educate us on how to really drive the brand, both in the products and the messaging, and then bringing that to life and investing. We know there are consumers out there still investing in their home, even in a challenging economy, and we believe we're disproportionately capturing them. But if I were to step back and say, what is the biggest pivot for us as a total enterprise? It's really this focus on driving our own company-owned retail and the reason for that is two-fold. We can control that brand experience for the consumer end-to-end. We can avail ourselves of the data from that consumer by interacting with them directly, and from a financial standpoint, we can take advantage of that integrated margin of owning the entire chain from pieces of fabric and steel, all the way to putting that product in the consumer's home. And so we believe that's good for the consumer, and that's good for our financials as well. So really, I would call continuing to expand our reach of our own retail is probably the number one biggest driver.
Brad Thomas : That's very helpful. Thank you, Melinda. And if I could squeeze in one more here for Bob, just on how to think about margins for the year, would appreciate any color, maybe kind of asking it from two different ways. For one, maybe in a world where all else is sort of equal from a sales perspective, can you help us think about what's going on in terms of cost initiatives and raw materials and how that might impact the margins? Or maybe said another way, if sales remain pressured through the year, because the industry is still challenged, maybe what levers can you pull? How much flexibility do you have to support margins and support earnings in a challenging backdrop? Thanks.
Bob Lucian : Well, in any kind of a challenging backdrop, we have opportunities for how we are operating our plants relative to the number of shifts and number of hours the plants are working. If things were going to really get more challenged, we have opportunities with how we operate our stores with the hours that they are open, as well as the number of personnel we have in those stores. So there are things that we can do from a margin protection perspective if things get more challenging than they have been. But we're really focusing on the other side of it, which is really focusing on the in-store execution and growing those same store sales. As we do that, we end up getting some of the margin accretion we expect to see in retail, and then we will continue to work on the project that I just mentioned when Bobby was asking his question. We expect to get that 50 to 60 basis points on an annualized basis. We won't get it in the first quarter. But that big project that we have as we've readjusted where our upholstery is being made, as well as where our cut and sew is being done in Mexico, that project is when it again starts up and is finalized going into Q2, we'll deliver some meaningful margin improvement for the overall company that we talked about last year. It's just coming a little bit later than we had expected.
Brad Thomas : Very helpful. Thank you so much.
Melinda Whittington: Thanks, Brett.
Bob Lucian : Thanks, Brett.
Operator: Thank you very much. Your next question is coming from Bobby Griffin of Raymond James. Bobby, your line is live.
Bobby Griffin: Thank you, everybody. Just a couple of quick follow-ups for me. I guess Bob, I wanted to talk about cash flow and some of the moving parts there. Was fiscal year ‘24 a fairly normal year from a working capital standpoint? So when we look at the $158 million of cash flow from Ops, that's fairly normal at this level of demand?
Bob Lucian : I would say yes. We made some improvements in inventory. We had some very high external wholesale sales in the fourth quarter, so that caused receivables to go up. But in general, I would say, I would answer, yes.
Bobby Griffin: Okay. And then I guess the build-off of that is, you know if that's the case and we kind of plug in the midpoint of CapEx and modestly higher dividends and maybe inline shares, we're probably trending pretty close to about $160 million in cash flow – I mean, in total cash spent next fiscal year or this fiscal year ‘25, which leaves the cash balance relatively flat year-over-year, rough numbers. So just curious kind of thoughts around that and what you need to see – you, Melinda and the board or everybody there need to see from the economy or the industry to maybe start working down the cash balance a little bit?
Bob Lucian : I'm not sure how you are doing your math there, but if you think about what we're looking at and again, the acquisitions that we do, particularly the independent furniture galleries, those we can't predict.
Bobby Griffin: Yeah, I didn't include any of those. Yeah, I'm sorry.
Bob Lucian : Yeah, so with those – and again, as we think about the capital we're doing, the acquisitions we'll continue to pursue when we're able to, along with a good healthy share buyback and a continued dividend, we'll be in excess of the operating cash flow that we would expect to have this year.
Bobby Griffin: Okay, so that – yeah, that was my next. Okay, so you do still feel there's a good pipeline in for acquisitions? Because in the math I just ran through, I didn't include the acquisitions of the independent, so that was the next question. Yeah, okay.
Bob Lucian : Right. We continue to look for those. We can't predict those. Those aren't call options, but we continue to work with dealers who are interested in selling their business.
Bobby Griffin: Okay, very good. That's very helpful. That's good to hear as well. And I guess that maybe lastly for me is if we could dig in a little more into kind of just the progression of the quarter. It seems like things were strong to start, maybe tailed off a little bit after what would be, I guess, the present-day holiday. And then you called out a nice – you called out a pickup back in May. Is it right to think that May picked up to kind of how things start at the quarter, or could you put any more color around, the May and the quarter-to-date written performance to help us think about how the business is trending here around Memorial Day and into mid-June?
Melinda Whittington: Yeah. I think, I'd go back to sort of the importance of some of these key holidays and so Memorial Day is a very important period for our industry, and so as we noted, really pleased with kind of the solid start into the year with Memorial Day. The balance of the quarter, consumers have better things to do than shop for furniture through June and July. And even from a financial standpoint, we close down our plants for routine maintenance, everything, over July 4th, give our folks a rest. So again, I guess I would go into – we felt very good about May. We've seen the industry data come out on May. It doesn't look like the industry feels particularly good about May and that just points to a challenged consumer. And I'm not in a position to make a prediction of when the consumer broadly is feeling a little less pressure. What I do know is, we are seeing the results of where we're playing offense, where we're investing in messaging, where we're investing in having the right products and the right experience for our consumer, because there are folks out there that are still buying furniture. And we are fortunate and that given the quality of our products and what our brand stands for, that we attract a consumer that tends to be a little more in the upper middle income range and so they still have a little more discretionary spending, if you can convince them that it's worth it. And I think we're doing a good job of that with everything around our brand and our execution. So again, May is off to a solid start. We're going to operate this year prudently. We believe we will get to growth in the year and that helps us with our bottom line. But we expect the year is going to be – still going to be challenged from just the environment that we're operating in, for the majority of the year.
Bobby Griffin: Very good. I appreciate the second chance at questions and congrats again on putting up a good year in a tough operating environment. Best of luck here in the first quarter.
Bob Lucian : Thank you.
Melinda Whittington: Thanks, Bobby.
Operator: Thank you very much. Well, we appear to have reached the end of our question-and-answer session and I will now turn the call back over to Mark for closing comments.
Mark Becks : Thanks, Jenny. Melinda, Bob, and I will be in our offices today to take any follow-up questions. Have a great day.
Operator: Thank you very much, everyone. This does conclude today's conference. You may now disconnect your phone lines and have a wonderful day. Thank you for your participation.